Matthew Kreps: Hello, and welcome to 22nd Century's Third Quarter Results Conference Call. Joining me today are Lawrence Firestone, CEO; and Dan Otto, CFO. Earlier today, we issued a press release announcing our results for the third quarter 2024. The release and 10-Q are available in the Investors section of our website at xxiicentury.com. Today's call will include prepared remarks from Larry and Dan, updating you on 22nd Century's business, operations, strategy and financial results through September 30, 2024, and subsequent. Before we begin, a few reminders for today's call. Some of the statements made today are forward-looking. Forward-looking statements are subject to risks, uncertainties and other factors that may cause actual results to differ materially from those contemplated by these statements. Additional information regarding these factors can be found in our annual, quarterly and other reports filed with the SEC. During today's call, we may also discuss non-GAAP financial measures, including adjusted EBITDA, which we define as earnings before interest, taxes, depreciation and amortization as adjusted for certain noncash and nonoperating expenses and net debt calculated as total principal amount of debt outstanding less cash and cash equivalents. For more details on these measures, please refer to our press release issued earlier today. And with that, I'll now turn the call over to Larry.
Lawrence Firestone: Thank you, Matt, and good morning, everyone, and thank you for joining 22nd Century's Third Quarter 2024 Results Conference Call. It's been almost a year since I joined the company in December of 2023, and I'm pleased to say, we're running a much different and vastly improved company than we were a year ago with a team that's both excited and motivated. We won't be spending much time revisiting the past 11 months on this call. Dan will be covering Q3 trends and financial results. Suffice to say, we have changed the company dramatically in all facets, and it will be most productive on this call to walk you through the outline of our current strategy as we go forward. We now have a very simple and intuitive business model. We have a contract manufacturing business or CMO side of the house, and we have a branded product side of the house where our VLN, low nicotine cigarette products reside. You have heard me talk over my time here about the synchronicity between the 2 sides of our business, and this synchronicity is very important as we shape the company going forward. As we look ahead at our strategy, it helps to reinforce the market landscape of the tobacco industry. I view this as a function of TAM or total available market and our SAM or served available market. The combustible cigarette market in the U.S. is an approximate $85 billion market annually. Big tobacco controls approximately 85% of that market. So the market that our CMO customers typically serve and we serve with our VLN brand is in the 15% of the remaining market, which is an approximate $12 billion market. There's plenty of room for us and the VLN category in that $12 billion slice. This segment is our SAM and is populated with many brands at many price points, usually in the lower tiers known as discount brands. The VLN brands are premium brands within the $12 billion market and provide plenty of opportunity for us, and you will see plenty of opportunity for our CMO customers as well. With that context of our targeted market, I'm now going to talk further about the CMO side of the house first. As you will see in our press release and our 10-Q, the CMO business is the lion's share of our revenue today while we revise the strategy around VLN. As far as the CMO business model goes, we provide a superior service to our customers in the industry. Once we're under contract, we take on the responsibility for procurement, product quality, production scheduling, shipping taxes, et cetera. We provide a wide range of services regardless of whether our customers have their own retail distribution or not. We own the product until it leaves our factory. The quality that our factory produces is paramount, and that is what we're known for. The relationships with our key customers are critical as when they grow, we grow. In the case where our CMO customers have their own retail stores, the product we manufacture on their behalf becomes their house brand and is sold within their own retail channel. Therefore, the work we do at our factory in North Carolina is critical, not only is our reputation on the line with every pack, but our customers' as well with respect to their brands. These CMO house brands in the marketplace provide us with a significant advantage and opportunity as we switch gears and talk about VLN. Our current low nicotine product is the VLN cigarette with 95% less nicotine than a traditional cigarette. This product, we believe, gives smokers a choice to control their nicotine intake. Our big brothers and sisters in the tobacco industry would like the entire population of tobacco users, both combustible and noncombustible to stay hooked to their highly-addictive nicotine content products. In fact, in the U.S., there's a sign on every door or every area where cigarettes are sold stating, and I quote, "A Federal Court has ordered Philip Morris USA and R.J. Reynolds Tobacco to state, Altria, R.J. Reynolds Tobacco, Lorillard and Philip Morris USA intentionally designed cigarettes to make them more addictive." Nicotine and nicotine addiction is a huge issue. You may have seen the signs or you may have missed them, but please look for them because they are there. In addition, literally billions of dollars are being spent annually in the U.S. on websites, TV ads, associations, et cetera, communicating the harm of nicotine. The world hasn't been listening to date, but maybe now the message is traveling. And with the right communication at the store level, we can help that message travel. We'll see. In our 26-year journey developing low nicotine tobacco with the help of North Carolina State University and others, 22nd Century is leading the charge to give tobacco users a choice to control their nicotine through our VLN product offerings. We offer the choice today with our VLN cigarettes, and down the road, we plan on development of other product line extensions of low nicotine products. Our VLN solution-oriented products and the synchronicity with our CMO business is critical to our growth plans and bringing 22nd Century and VLN to the forefront of the industry. I will lay out the strategy that we've been working towards and what has begun to take shape. In the CMO business, we have great customers who rely on us to produce their products. Our customers are introducing new products and expanding our responsibilities within their brand portfolios, and this is a critical growth engine for us. We're speaking about both domestic and export business. In addition to the growth within our existing customer base and their product expansion, we are soliciting new CMO customers who can take advantage of our talented team and the high-volume, high-quality production machine that we've built in North Carolina known as NASCO products. For VLN, our low nicotine tobacco is the solution. This is where the intersection of our CMO house brands and VLN strategy merge and provide us with a significant opportunity. A key priority of our strategy is targeting to expand our VLN SKU lineup and enter the market for VLN within our CMO customers' product lineup. I've referred to this as flanker brands in the past, but these are private label VLN brands in our customers' product lines. As we go, our CMO customers will carry VLN SKUs under their brands as well as our flagship brand in their stores. With this strategy, we will begin to broaden distribution and begin to build the VLN category with multiple facings in retail. Eventually, as this strategy takes hold, we will have the potential to have a category that represents the different brands that carry VLN under their brand. Within the 5,100 retail outlets that currently carry our VLN products, both regular and menthol, we have significant work to do to reactivate the brand and achieve a higher rate of sales to register. You've heard me refer to the fact that we need 1 carton per store to break even on VLN alone. At the launch of the product, in some stores, we saw rates of sale up to 3.5 cartons a week for an extended period of time. Instead of incubating further in a very slow strategic way, we went wide in 2022 with a fast expansion up to 5,100 stores and did what I call, outkicked our coverage. When that happens, you're playing catch-up, and that's exactly where we are. In addition, we sold into distribution partners, large volumes of VLN. And now they have to burn through their inventories before reordering our flagship brand. That's what I refer to as a supply air pocket. Simply put, the actions we're taking on the VLN side are as follows: 5,100 retail outlets need attention from our side to refresh the brand and activate it at the store level. This will be done with signage and other retail product presentation, training and programs, et cetera. Private label or flanker VLN will add growth in distribution, increasing the store count north of the 5,100 retail outlets. Again, all this is targeted at the lower 15% of the total addressable market or the $12 billion market. We will activate all the VLN brands, both flagship VLN and CMO customer private label brand VLN in the same way with programs that will help educate and attract the eyes of the consumer to the product. Having said that, as fast as the expansion of VLN could go, we will deliberately manage the pace of expansion so that we do not repeat our past sins and outkick our coverage or expand beyond our ability to service the launch. This will build the VLN brand and allow our CMO customers the opportunity to add a premium product into their SKU lineup. Where we believe we will close 2025 is with a healthy VLN flagship distribution in the 5,100 stores and growing and a healthy growth path of private VLN or flankers in the market, expanding the footprint and gaining customer awareness and traction. We have other growth strategies we're vetting, and we will update our investors as they come to fruition. And with that, I'll turn it over to Dan to discuss the numbers.
Daniel Otto: Okay. Thank you, Larry. I'll now spend some time going through the details of our third quarter financial results, which are presented on a continuing operations basis and excludes our former hemp/cannabis segment. Net revenue was $5.9 million in the third quarter 2024, decreased sequentially from $7.9 million in the second quarter 2024. The revenue decline reflects several puts and takes, but overall, is reflective of lower volume shipped at 439,000 cartons compared to 719,000 cartons in the second quarter. Gross profit declines are similarly impacted by the lower volume shipped during the period. We expect fourth quarter 2024 revenues to be relatively consistent with significantly less filtered cigar volume than previous quarters, offset by new export volume that will be ramping up more steadily before the end of the year. We expect to see increasing volume in 2025 across all product lines with new and expanded customer contracts, including export and VLN sales. Looking at sequential product line revenue fluctuations, our third quarter revenue included the benefit of improved pricing on our cigarette products, even though volume declined in the short term, leading to an overall increase in revenue in this category. Additionally, it is of note that our second quarter results comparison for cigarettes benefited from an approximately $900,000 onetime order of our SPECTRUM product, which is our low nicotine research cigarettes and helped boost both top line revenue and gross profit in that period. Moving on, a significant decline in filtered cigar revenues primarily due to a decline in volume of 206,000 cartons compared to the second quarter of 2024. The change in revenue reflects the previously discussed transition in this portion of our business as we exited mispriced contracts that were loss generating. We remain active in negotiations with certain customers to return volume in this product line in 2025 under appropriately priced contracts. Beyond filtered cigars, our new cigarillo business contributed nicely, and last quarter reflected stocking orders, so now we're moving into a steady state of reorders. Cigarillos are sold through an existing large c-store partner, whereby they handle the marketing, keeping our cost profile low and also now provides us with a repeatable operating model to expand in the other tobacco products segment for our CMO customers. And last, VLN revenues were negligible in the third quarter, although there continues to be sell-through by our distributors with product previously shipped. As Larry discussed, we are launching new marketing and awareness campaigns to drive VLN sales as well as working with certain of our large retail partners to develop flanker brands using recognized c-store house brands to build sales in this category going forward in 2025. As I said last quarter and echoed throughout Larry's remarks, reaching sustainable gross profit in our CMO business is critical to our success, which includes ensuring the appropriate pricing for our key customers and exiting any business where we were losing money. Our third quarter results demonstrate the transitional phase we are at in reaching this strategic goal, and we now look ahead to early 2025 with additional CMO and VLN volume. Total operating expenses for the third quarter were $2.8 million, down from $8.3 million in the prior year comparable period, which is a more consistent run rate following the cost cut and restructuring initiatives implemented over the last year. However, we do also anticipate an increase in spend in 2025 as we launch our reinvigorated sales and marketing initiatives to accompany the push of VLN and VLN flanker brands into the market. Net loss, EPS and adjusted EBITDA for Q3 follow similar trends as the second quarter and have substantially improved from the prior year comparable period. We ended the third quarter with $5.3 million in cash on the balance sheet and in October, raised an additional $5 million in gross proceeds, providing us with liquidity well into 2025 as we execute on our strategy and get to breakeven. The overall improvement year-to-date in our balance sheet is demonstrated by the significant reduction in net debt, which at the beginning of the year, was $13.3 million and ended the quarter at only $3 million. Also, we've seen an improvement in total shareholders' equity of almost $12 million in the same year-to-date period. Finally, to allow us the runway to advance our strategic priorities in the business without the need for using significant operating cash flows to service our debt, we've amended the senior secured credit facility to reduce monthly debt amortization payments by 50% through August 2025. This also allows us time to continue advancing our lawsuit against Dorchester Insurance Company for a claim of $9 million in unpaid damages for business interruption. And with that, Larry, I'll turn it back to you for closing remarks.
Lawrence Firestone: Thanks, Dan. I would like to thank everyone for joining our call today. We are now 11 months into this turnaround at 22nd Century. Our team has executed a major transition, and now we have a baseline platform to start the growth phase of our company. Our balance sheet is stronger. Our operating costs have been cut to the core and are more closely aligned to our sales. Our CMO business is on a growth path, and we're building out the VLN business in a different way with a path to growth as well. We have begun to work on our technology road map to deliver new products in the future, and we are still targeting to breakeven in Q1 of 2025. We have come through a very trying period of playing defense and offense at the same time. Shedding the past and setting up the future simultaneously is always a huge challenge. The team at 22nd Century is excited and motivated to drive our company forward to be a meaningful player in the market, generating profits and positive cash flow. I have personally seen a huge shift in the business, and we are starting to build early momentum with our customers in the market. As we execute Q4 and Q1, we will activate the strategies we've been working on, and this will shape 22nd Century for the future. I would like to personally thank our team at 22nd Century for their tenacity and perseverance to take on the challenge of this turnaround. They're an awesome team that I am very proud to lead. We look forward to updating you again as new developments materialize. And if you have questions or would like to arrange a follow-up, please contact Matt Kreps, Investor Relations for the company, using his contact information provided on the press release. Have a great rest of your day.